Operator: Good morning. Thank you for standing by, and welcome to the Booz Allen Hamilton’s Earnings Call covering First Quarter Results for Fiscal Year 2022. At this time, all participants are in a listen-only mode. Later, there will be an opportunity for questions. I would now like to turn the call over to Mr. Rubun Dey.
Rubun Dey: Thank you. Good morning, and thank you for joining us for Booz Allen’s First Quarter Fiscal Year 2022 Earnings Announcement. We hope you have had an opportunity to read the press release that we issued earlier this morning. We have also provided presentation slides on our website and are now on Slide 2.
Horacio Rozanski: Thank you, Ruben, and good morning, everyone. Thanks for joining the call. As always, Lloyd and I are pleased to share our latest financial results and to represent the great work of the more than 28,000 people of Booz Allen. In addition to discussing our first quarter performance, this morning, I will take a little time to talk about the future of work. Our industry, in fact, the entire economy is transitioning to more in-person work as we recover from the COVID-19 pandemic. And at Booz Allen, we are excited about the opportunities this presents to our people and clients. After my remarks, I will give Lloyd the floor to cover the financials in more depth. Let me start with an overview of the quarter. On our last call in late May, we talked about our near and midterm priorities and our fiscal year 2022 outlook. We said we expect another year of significant revenue growth with strong earnings growth, continued cash generation and strategic deployment of capital.
Lloyd Howell: Thanks, Horacio, and good morning, everyone. Before I jump into the financials, I want to note that this has been a truly busy quarter for us. A few of the major highlights included closing our acquisition of Liberty and launching the integration process, replenishing our balance sheet through the bond market. Investing in latent II, a highly strategic, rapidly growing company in the AI ML space. Doubling down on our recruiting and hiring efforts with promising results. Implementing our NextGen financial system. And, of course, engaging across the firm on our strategic review and our next investment thesis. We are energized by the pace of activity and look forward to sharing more in the months to come. Now on to first quarter performance. As we noted in May, we expected some early year choppiness in our top-line results as we move into a post-pandemic operating rhythm. However, we were able to maintain strong performance at the adjusted EBITDA and ADEPS line through disciplined cost management. Additionally, we are encouraged by our solid bookings performance as well as our pace of recruiting. Operating cash flow was light of our initial forecast, but we view most of the moving pieces as either one-time or transitory.
Rubun Dey: Thanks, Lloyd. Operator, please open the line.
Operator: Thank you.  Our first question comes from Sheila Kahyaoglu with Jefferies. Your line is open.  Our next question is from Carter Copeland with Melius Research. Your line is open.
Carter Copeland: Hey good morning gentlemen. Horacio, I noted you spent a lot of time, a lot of emphasis talking about the objective on hiring and getting headcount out through the course of the year. I mean I realize that it is always a dynamic situation out there in the job market. But are you encountering any sort of new challenges here? I realize it is a different working environment but as you try to hit those targets for headcount additions. What sort of challenges are you running into in this market?
Horacio Rozanski: Carter, I think if you look at the numbers, things are looking very good. We have sequential month-over-month increases in hiring. And the team is very focused on this. As we have talked about before, this is a highly competitive market. And so the key for us is to continuously renew our employee value proposition and make sure that people know why Booz Allen is the right place to come to work. You might have seen it in the last couple of weeks, we were rated by Forbes as the number two company for diverse talent. Just this week, we were rated also by Forbes as the top company in the country for women and this is based on surveys of employees. And that just speaks to the fact that the people at Booz-Allen feel strongly about what we are doing, how we are doing it and are telling everybody. And so while we need to keep our foot on the gas, I am confident that we can ramp up recruiting to the right levels, and we will stay on it.
Lloyd Howell: Carter, I would just add that I think it was the last quarter, we said that this was going to create some choppiness, but the reality is we are seeing good momentum, 4.3% growth year-over-year and 3% quarter-to-quarter. We just have to stay at it. And I think the things that we have got underway are beginning to work.
Carter Copeland: Okay. And Lloyd just a quick one on the cash flow and obviously the receivables dynamic in the quarter, how long in terms of that transition and client billing and whatnot, do you think that will take to kind of correct itself if you will?
Lloyd Howell: Yes. I mean we are confident that the solid processes that we put in place are really going to kick in. And as it was pointed out in the prepared remarks, it was late really due to a one-time transaction-related expenses to Liberty. And we see that this year, it is going to turn around. We are expecting things to begin to improve next quarter and beyond.
Carter Copeland: Awesome. Thank you gentlemen.
Lloyd Howell: Thank you.
Operator: Our next question comes from Matt Akers with Wells Fargo. Your line is open.
Matthew Akers: Hi good morning, thanks for the question. Horacio, you talked about kind of the three operating models and people sort of shifting to this more of a hybrid work model. I guess can you talk about what the financial impacts of that? Is there an opportunity for more profitability or there is any sort of cost savings there ultimately kind of flow back to your customer?
Horacio Rozanski: You know it is - I would put this in the to learn category. There is a lot to learn on this path and to understand. I do believe having said that understand - I do believe having said that, that the increased flexibility will do a couple of things for us. First of all, it allows us to serve clients more effectively and more efficiently, hopefully, from around the country. There is some concentration of our business in the Washington metro area that is a very contested talent market and while we are doing well here. Boy, I mean our clients and we would benefit from being able to bring talent for more across the country. And we are doing that from our team in Charleston serving clients here, our team at the Liberty team has a significant delivery center in Florida, and that is also working really well also. So I think this flexibility is great for that. And I think it is also great for people and to both attract and retain people, which is ultimately the driver of our growth and the driver of everything else. So overtime, and in the long run, I think this will make us more effective, more efficient and more profitable, but the near-term goal is to make us more flexible.
Lloyd Howell: And I would just add from a financial perspective, cost savings was not the driver here. It really was what is best for our people as well as our clients. And as you can see, with the low CapEx spend, we feel that is a reflection of the fact that we are emerging from COVID facility spend has been light. It will pick up a little bit. But at the end of the year, we still expect to be within our $80 million to $100 million in CapEx.
Matthew Akers: Got it. And I guess if I could do one more. One of your peers, the other day kind of mentioned they were seeing some contract delays may be driven by some protests. Is that something you guys are seeing at all or maybe you could just comment about sort of the contracting environment here as we come out of COVID.
Horacio Rozanski: Right now, things are very robust. As you saw in our book-to-bill, we are back to a very robust book-to-bill backlog is record levels. And the pipeline looks very good. We are engaging with clients and they are very interested in both what we have to say and how we can help them, especially in these leading-edge areas where new technology meets mission to drive change.
Matthew Akers: Okay, thank you.
Operator: Thank you. Our next question comes from Mr. Sharpe with Morgan from Mr. Sharpe with Morgan Stanley. Your line is open.
Matthew Sharpe: Good morning gentlemen and thanks for taking my question. Just wanted to touch on Liberty IT here for a moment. Now that you guys have closed the deal and been able to get under the hood a bit, so to speak. Are there any changes to the $200 million revenue synergy target or any other assumptions around the deal and what, if anything new, have you learned now that you have been able to really get inside the business and take a look.
Horacio Rozanski: Let me start by talking a little bit about what it feels like on the ground and then I think Lloyd can address any financials. I will tell you, we are really, really happy after close, we have really had an opportunity to get to know them better to start to work this together. We have a very detailed integration plan that we are following and it is working well. We are very comfortable, in fact, bullish about what we are going to do together in the market. They have a big growth curve, and they are on it. And we are beginning to see, frankly, a number of opportunities outside of where their core client relationships where like in defense, where what they do, especially around low code, no code is in high demand, and we can bring it as an integrated team. So all I would say is, again, early days, too soon to tell, but we really like what we are seeing. And I personally have really enjoyed getting to know this team and watch what they can do.
Lloyd Howell: On a financial dimension, I got to echo Horacio’s comments we are also very comfortable and pleased with how it is playing out. There is no change to what we expected at the beginning in terms of the $200 million, and we are working very well together and integration is going well.
Matthew Sharpe: Fantastic. And then just a quick one on your AI and ML business. At this point, you have got two of the largest DoD contracts out there and eMAPS in Jake. You have also made some investments in this space, e.g., the late AI deal earlier this quarter. Can you guys size that business the AI and ML overall business at Booz? And how should we think about growth expectations for this market going forward.
Horacio Rozanski: I guess I will start again. I will say the following. We don’t view AI as its own thing and following. We don’t view AI as its own thing and neither do our clients. We view AI as a critical technology to drive mission. And so even in these contracts that have an AI-centric scope, the work is not just building algorithms, it is taking things from the lab to the field, which requires a large number of things. We are seeing AI penetrate areas from not just the ones we are talking about, but cyber, certain intelligence topics, we are going to see it in space. We believe this is a major wave, and we are, by all accounts, a leader in driving this. You saw us do the late in AI investment because we are excited about the technology they have around compression algorithms and the ability to bring AI to the edge more efficiently. And we intend to not just protect but really expand our leadership position.
Matthew Sharpe: Fantastic. Thanks for the update gentlemen.
Horacio Rozanski: Thank you.
Operator: Our next question comes from Cai von Rumohr with Cowen. Your line is open.
Cai von Rumohr: Yes thanks so much. Good results. So $67 million, basically in acquisition cost that seems extraordinarily high could you give us some color why was it so high? Was it in G&A because if it wasn’t G&A and I take it out, it looks like the G&A percent of revenues was down $200 million. Could you share some light on all those issues?
Lloyd Howell: Sure. Of the $67 million, about $56 million of it was due to a transaction bonus plus advisory fees and retention costs. So as we said in our prepared remarks, it is really the original purchase price that amount came out in terms of bonuses and retention.
Cai von Rumohr: But I mean if you back all that out of your G&A, it looks like the G&A is was the G&A is really the ongoing G&A rate around 11.6%, 11.7% versus 12.6% last year so that the G&A is actually fundamentally much lower or -.
Lloyd Howell: Yes. I would say at the beginning, Cai, it is a bit too early. From our perspective, it will be cyclical and will play out over the course of the year.
Cai von Rumohr: Okay, thank you.
Lloyd Howell: Sure.
Operator: Our next question comes from Seth Seifman with JPMorgan. Your line is open.
Seth Seifman: Yes hi, thanks very much and good morning everyone. A quick question, I apologize if you mentioned this, but I think last quarter, you guys talked about a pause on a large cyber program. And I was wondering if you could update us on that, if that is back to expected levels and you have the future revenue and earnings expectations for that program?
Horacio Rozanski: Yes. We are still optimistic that, that program will receive the funding and sort of reinitiate. If you are following sort of the comings and goings of budget discussions, clearly, cybersecurity is a priority of this administration, and they have the virus a portion of the budget to that. It takes a bit of time for that money to sort of trickle down into the various agencies and departments. But in close conversations with our clients, they remain optimistic that they indeed will receive the necessary funding not the least of which is in today’s environment, it is definitely needed. So we are positioned well. We have been in touch with our clients throughout the transition. And we are expecting at some point this year for things to resume.
Seth Seifman: Okay. Great. And then just as a follow-up, I guess, if I look back in time, maybe before fiscal 2020, you guys kept a lower level of cash on the balance sheet, and it got pretty high. And then we had the Liberty acquisition. I guess are you thinking from here that how much cash you want to kind of keep in reserve in order to have options for M&A versus share repurchases as we go through the rest of this year?
Lloyd Howell: Sure. I mean pre-pandemic, 2020 and even earlier, I’ve always said we need about $150 million for working capital needs. And as you point out, we have been well north of that for some time. We see that as a strength. As Horacio and I have been sharing, we expect to leverage our balance sheet, not the least of which when it comes to capital deployment, will be inorganic opportunities and Liberty is the most recent example of that. But we have also got a pretty disciplined patient capital deployment approach. So whether it is repurchases or regular recurring dividend, we will make the call as the environment teams. But we have got a healthy, as you point out, balance today, about $1.6 billion in cash, and we are always looking to deploy that to the benefit of our shareholders in the near, mid and long-term.
Horacio Rozanski: I will just put on one point that Lloyd made, which is that we increasingly view M&A as a strategic accelerator for our business. If you look at Liberty, if you look at Tracepoint, if you look at late in AI, they are allowing us to Leap pro our own development efforts by sometimes for years. And we are excited to do that. And to the extent that we can continue to find opportunities like that, we intend to take advantage of them.
Seth Seifman: Okay. Thanks very much.
Operator: Our next question comes from Gavin Parsons with Goldman Sachs. Your line is open.
Gavin Parsons: Lloyd, in response to Seth, you mentioned cyber budgets or funding Obviously, those are growing, but it seems like there have been some pretty big numbers proposed, whether it is part of COVID relief or the latest TMF request, but it feels like those numbers have come in a lot lower. Why is that, is there a will but not a way to fund.
Lloyd Howell: No we are not seeing that. I mean there is definitely a will as Horaciill sharef with you. He is talked to many of our elected officials, both sides of the aisle that see this as an area of importance. And I think if anything, just sort of the natural friction of making decisions, adjudicating the budget, and then the departments and services sort of receiving that with what we are seeing. We are not detecting in our conversations, any hesitation or lack of momentum or desire, particularly when you are looking every day in the press that a solar wins or another more recent intrusion, it is definitely top of mind. So as I said in the earlier response, we are sticking close to our clients. We are talking to them and engaging on are the possible and once the money begins to flow, what is the best use of that. But again, it is going to play out over our fiscal year and we are on-track to meet what we guided to.
Gavin Parsons: Got it. And then a quick clarification on the Liberty - sorry, on headcount growth, does that include the Liberty acquisition?
Horacio Rozanski: It does.
Gavin Parsons: So maybe excluding that, it looks like closer to something like 1.5%. I think you said the target for the year was mid-single digits to get you into the 4% to 7% organic range. What do we need to see that pace accelerate at over the next couple of quarters, assuming there is some lag dynamic of headcount utilization or headcount growth rate translating into revenue growth?
Lloyd Howell: Yes. I mean, we believe we are beginning to see it take place already. If you go back to Q4, Horacio and I said coming out of our FY 2021 Q3 that this was going to be operational priority for us, and we saw some improvement begins in our fourth quarter of last year. That has continued into this year. And initial indications are it is going to continue to build through the summer, and that will tee us up well for the second half. So it is happening, but it is a very competitive labor market, as I think we all know. And our business leaders are on it, and we are really beginning to see the results of that.
Horacio Rozanski: I will just build on that by saying this is our top priority for the year. We have been honest and explicit about that. And what we need to see is sequential month-over-month growth. Recruiting, it is about momentum, it is about building pipelines and executing on pipelines of candidates. And that is what we are seeing inside the business. So we remain confident and that is why we are reaffirming our guidance and saying this morning, we are on-track.
Gavin Parsons: Okay. Thank you both.
Operator: Our next question comes from Joe DeNardi with Stifel. Your line is open.
Joseph DeNardi: Could you just talk a little bit about organic growth expectations for the year. Sorry if I missed that in guidance, but what you all are expecting?
Lloyd Howell: No worries. For the year, we said 4% to 7%. And much like my previous comment, Joe, really is going to hang on our ability to bring on the necessary talent. We exited last fiscal year at a run rate of about 2%. We feel we are off to a good momentum building start to this fiscal year. But if we do what we expect to do, will push us to the upper end of that organic range. But again, we are not taking our foot off the accelerator.
Joseph DeNardi: Okay. That is helpful. But I’m wondering if you could just follow up on the maybe maintaining the cash balance where it is at elevated levels, like what changed a couple of years ago to lead you all to think that is the right strategy and then what is the advantage that it offers you all? Is it M&A that allows you to transact more quickly or is it on the buyback side? Like what is the advantage it provides you?
Lloyd Howell: Sure. I will take you back to when it wasn’t as robust as it is now. You all were peppering me with questions, okay, you need to improve on receivables and collections, and that is exactly what we did. We got a lot more efficient with our collections a lot more efficient with balancing that with payables. So it naturally led to an increase in our cash. And then quite frankly, with our capital deployment we did not sort of focus on M&A activity at that time. And Horacio and I began to say, "Hey, look, we are going to maintain our organic growth leadership position and look for ways to add inorganic opportunities to that." And so now with the more robust cash position, we are looking to do more deals. Liberty is the most recent. We have also talked about Tracepoint, the investment we made there. And our pipeline of opportunities is continuing to grow. And that is what we really see sort of what will be the use of the cash going forward.
Joseph DeNardi: Great. that is helpful. Thank you.
Lloyd Howell: Sure.
Operator: Thank you. And our last question is from Tobey Sommer with Truist Securities. Your line is open.
Tobey Sommer: Thank you. I was wondering if you have any learning now that the slowdown in kind of pause in hiring that occurred last year is getting ramped up again. Because organic growth has been the hallmark of the company, and that was a sort of a rare deceleration seemingly for something in the market or at your customers that prompted you to slow it down? Have you learned anything that might help you avoid that kind of circumstance in the future?
Horacio Rozanski: Toby, I will start. I think if I take you back, we were operating the business at very, very high utilization rates. And that was driven by the fact that people - the country was shut down, people are not taking time off. And so the extra productivity, if you will, the extra available hours almost acted as new headcount. And so it didn’t make sense to keep pedal to the metal on that and it didn’t make sense to force our team to really drive down that path at the time where we were worried about people’s emotional health, we were worried about running the business efficiently, delivering on contracts and so forth. And frankly, we had a view that change in productivity back to normal levels was going to happen this spring, not last fall. And that was the one thing we misread. And so with the benefit of hindsight and looking forward, maybe we would hedge our bets a little more on when would things turn in an uncertain environment and think about that a little more carefully. I go back and I say, "Well, we are learning from that, and we certainly can always do better." I’m very proud of the way the team performed over the last year. My confidence in this team is at an all-time high in terms of what they can do and what they will do. And hiring is now back up to really good levels, and we expect it to go even further, which is sorry if I sound like a broken record, which is why I really do feel we are now on-track and driving the business the way we want to.
Lloyd Howell: The only thing I would add is there was a great deal of learning on the welfare of our people that we have. We spent a lot of time, whether it is through our $100 million resilience program. But as the year played out with all the different social matters that we were confronting, it really allowed us to have a different dialogue with our workforce that frankly, we are seeing lower attrition than we might otherwise. So the investment in our workforce, I think, learning for us.
Horacio Rozanski: Let me come back one more time and we have talked a lot this morning about people and the importance of people to our business and the importance of taking care of people in our business. And so that is why we are thinking about how do we take the workforce forward and that is why we are proposing this view that we need to build our workforce going forward in 3D. Meaning more distributed, more digital and indeed more diverse. And I think if we focus on that, all of the questions about how we build this great workforce for the future, how we blow past 30,000 people and beyond, that is going to be the foundation for that.
Tobey Sommer: Thank you for the answer. My follow-up has to do with the commercial business. Could you refresh us on what the reorientation of that is? And then what your expectations for sort of a growth and margin profile are once that is complete?
Horacio Rozanski: Why don’t I start. We made a decision to deemphasize some of our business in the Middle East over the last 12-months and emphasize our cyber business center of the North America by serving clients around the world. And I think that was a really good decision. I think we are seeing some of the financial implications of that work its way through the P&L and this quarter, maybe next. But we expect strong growth in the second half, and we expect a good year. We are happy about Tracepoint and what we are seeing in that investment there. And we are bullish about the opportunity of serving clients on cybersecurity, which, as you know, is a national priority.
Tobey Sommer: Thank you.
Horacio Rozanski: Thank you.
Operator: Thank you. I would now like to turn the conference back over to Horacio Rozanski for closing remarks.
Horacio Rozanski: I want to thank everyone for your time and for your questions this morning. We have opened the year with a solid performance. And as I hope you can tell, we are moving forward with a lot of energy and with confidence, both about the state of the market and our plans for the future. And in terms of plans for the future, we look forward to sharing with you a new investment thesis and more about our strategic direction this fall. But in the meantime, enjoy the summer, be safe, and have a great day, everyone.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.